Operator: Ladies and gentlemen, thank you for standing by and welcome to the Q4 and Full Year Fortress Transportation and Infrastructure Investors LLC Earnings Conference Call. At this time, all participants are in a listen only mode. After the speakers' presentation, there will be a question-and-answer session.  Please be advised that today's conference is being recorded.  I would now like to hand the conference over to your speaker today, Mr. Alan Andreini. Thank you. Please go ahead, sir.
Alan Andreini: Thank you, Cindy. I would like to welcome you all to the Fortress Transportation and Infrastructure's fourth quarter and full year 2020 earnings call. Joining me here today are Joe Adams, our Chief Executive Officer; and Scott Christopher, our Chief Financial Officer. We have posted an investor presentation and our press release on our website, which we encourage you to download if you've not already done so. Also, please note that this call is open to the public in listen-only mode and is being webcast. In addition, we will be discussing some non-GAAP financial measures during the call today, including FAD. The reconciliations of those measures to the most directly comparable GAAP numbers can be found in the earnings supplement. Before I turn the call over to Joe, I would like to point out that certain statements made today will be forward-looking statements, including regarding future earnings. These statements, by their nature, are uncertain and may differ materially from actual results. We encourage you to review the disclaimers in our press release and investor presentation regarding non-GAAP financial measures and forward-looking statements and to review the risk factors contained in our quarterly report filed with the SEC. Now I would like to turn the call over to Joe.
Joseph Adams: Thank you, Alan. To start, today I'm pleased to announce our 23rd dividend as a public company and our 38th consecutive dividend since inception. The dividend of $0.33 per share will be paid on March 23, based on the shareholder record date of March 12. Now let's turn to the numbers. The key metrics for us are adjusted EBITDA and FAD, or funds available for distribution. Adjusted EBITDA for Q4 2020 was $46.2 million compared to Q3 2020 of $58.6 million and Q4 2019 of $234 million. On a normalized basis, excluding the gains or losses from the sales, Q4 2020 adjusted EBITDA was $44.3 million compared to $59.7 million in Q3 2020 and $92.1 million in Q4 2019. FAD was $54.2 million in Q4 2020 versus $39.9 million in Q3 2020 and $288.6 in Q4 2019. On a normalized basis, excluding sale proceeds and nonrecurring items, Q4 2020 FAD was $35.7 million compared to $23.9 million in Q3 2020 and $58.1 million in Q4 2019. During the fourth quarter the $54.2 million FAD number was comprised of $89.9 million from our aviation leasing business, negative $1.8 million from our infrastructure business and negative $33.9 million from corporate and other. Now let's look at all of 2020 versus all of 2019. Adjusted EBITDA in 2020 was $243.3 million versus $503.4 million in 2019. Normalized FAD in 2020 $147.9 million versus $192.4 million in 2019. And by far, the dramatic reductions in passenger air travel due to COVID-19 drove the negative financial impact to 2020.
Alan Andreini: Thank you, Joe. Cindy, you may now open the call to Q&A.
Operator: Thank you.  And your first question comes from Josh Sullivan with Benchmark & Company.
Josh Sullivan: Hey, good morning. And thank you for taking the questions here. I'm wondering if we could start off just with some color on how airline customers are responding to the FAA certification of the PMA engine parts? Has it been as you expected? You know, what is the inbound inquiries? Like since the approval, and I guess, you’ve seen any customers you didn't think maybe you might see?
Joseph Adams: Yes, I think the response has been even better than we expected. We've known - you know, PMA has been in use for a long time by many airlines. But I think the combination of this being one of the largest engine markets, the largest engine market in the world. And also the emphasis that all the airlines have now on cost savings, maintenance expenses, the third largest P&L category for an airline after fuel and labor. So there's tremendous focus and the OEMs continue to raise parts prices every year, including this year, when you have a tremendous downturn. So you're either very, very focused on that. And PMA is a solution that we haven’t - I don't think we've found anybody that wasn't interested in hearing about it. So - and there has been a lot of inbound inquiry. And then getting the approval is a big step just because it's now real products shipped this week, one to an airline and one to one set - sets to us. So they're out there now. And there'll be more to come. So I think that it's been a great reception and couldn't ask for, you know, sort of a better backdrop.
Josh Sullivan: Got it. And then just as you mentioned, kind of more to come, what do you think the timeline looks like for any additional parts to make it through the FAA? You know, do you think getting this first one over the line improves the timeline to maybe get those approved? Or just what are you thinking about on those other parts?
Joseph Adams: I think it will, it should pave the way and I think it should get easier. The second part, we expect to have approval in the second quarter. So right behind it. And then there are three additional parts that, you know, we didn't start work on until 2019. So we're expecting 2022. But there's potential for that to move up a little bit, given you know, that there will be a sort of a pattern, sort of a more paved path to getting there.
Josh Sullivan: Got it. And then just one last one, on the air sterilization product you just mentioned for the aviation market. Can you just expand on that opportunity? Is that an original part, is that a PMA part? Just some color on that would be great.
Joseph Adams: It's an original part. And it's been - it's actually been installed in some business jets and some commercial jets, but not very widely. And it has been proven to be extremely effective and save as much as 2% on fuel. So probably something that could, you know, have wide application. But it hasn't - I think that what has been missing is the commercial development around that, and so that's I think, where we can add value. And that's what we're hoping to do.
Josh Sullivan: Got it. Thank you for the time…
Joseph Adams: One thing, about HEPA filters are effective, but HEPA filters effectively trap germs and viruses and then they have to be removed. And that's by - that sort of dangerous hazardous waste when it comes off the airplane. This product actually destroys them. So they're no longer viable. And there's a tremendous savings there as well in terms of the handling.
Josh Sullivan: Great. Thank you for the time.
Joseph Adams: Thanks.
Operator: Your next question comes from Guiliano Bologna with Compass Point.
Guiliano Bologna: Good morning, and thanks for taking my questions. I guess starting out on the infrastructure side to pivot a little bit. You obviously have Repauno going live and you also have Jefferson with the new pipelines  service under the river to Exxon. And you also have the power plant coming online. Is there a sense of kind of what EBITDA do you  segment as a whole to generate in 2021? And how that could ramp throughout the year?
Scott Christopher: Yes, I would say $50 million, $60 million of EBITDA this year from the three you mentioned, and the largest being Jefferson, followed by Repauno and then Long Ridge, just because Long Ridge, we will not have a lot of history - it's not a lot of time once it comes on, and we own 50% of that, so in that order. And obviously, it's more back end-loaded. So - but I think that's a reasonable goal. And obviously, then next year, they'll all be in service, you know, full year, which would be better. And then we've got expansion projects, numerous ones that could add substantial to that.
Guiliano Bologna: That makes sense. And thinking about Jefferson, more specifically, I think the prior discussion was - was you might go and get that into a range of about $70 million to $80 million for the annualized EBITDA. Going from there, what kind of other projects could you explore for Jefferson and kind of what – representing something what the magnitude could be?
Joseph Adams: Yeah, there's a long list of projects. You know, I think, the goal was always once you get the pipeline connectivity, then you have many opportunities to add business. And, you know, that's evident with Exxon six pipelines, only one of which today is being used. And so there's five other ones that could - which could include crude, could include refined products, export, could include intermediates, vacuum, gas oils. We sold jet fuel for them at one point before the COVID crisis. So there's a range - there's a long list of, you know, opportunities that we're in discussions on and pursuing just with them. And then there's, I mentioned, the Canadian market is picking up and the Utah markets for crude by rail, there's a DRU that's going to come online this summer, which is - recovery in it, which means that crude will always move by rail. And so we've seen more DRU on the horizon, and that's very good for the Motiva crude movement opportunities. And then we have some Canadian producers that are also in the terminal and have looked at expansion. So those are probably the big three customer groups - groupings and there's an active list with all of them, and it keeps usually every time you meet it ends up - you end up adding to the list instead of subtracting.
Guiliano Bologna: That’s great. And I am just making sure, from EBITDA range perspective, that the power plant is supposed to generate roughly $120 million a year before any data centers, and you own half of that, so about 60. Then you have Jefferson at 70 to 80. And then Repauno is kind of in the 10 to 15 range if I remember correctly?
Joseph Adams: Yeah, 15.
Guiliano Bologna: That sounds good. I really appreciate the time. And I'll jump back into queue.
Joseph Adams: Thank you.
Operator: Your next question comes from Chris Wetherbee with Citi.
Unidentified Analyst: Good morning. James on the Chris. I wanted to ask about the EBITDA walk you went through in kind of $50 million to $80 million, you called out from the JV, acknowledging that, but like looking a bit further out, what is that growth look like in 2022 and beyond frankly, like essentially, how - what can that grow to like, how do you think about market share, and that ability to sort of pick it up over time, essentially, year-on-year, I know, I think you might not have the most clarity to, but just kind of wanted to understand how you think about the growth of that business?
Scott Christopher: Sure. So I think if you take - if you look ahead to 2022 and your starting point and say roughly $1.8 billion  you’ve invested in equipment that actually generate $450 million of EBITDA, and then on top of that, I think the last time we discussed the, sort of the opportunity from both the parts business, as well as managing third-party fleets, adding an incremental $100 million to that number. And so I would say $550 million to $600 million for 2022 is - it may sound a little aspirational, but I do think it's reasonable, it's a reasonable goal.
Unidentified Analyst: Got it. And within that - in the walk within that 50 to 80, what sort of puts you at the higher end of that range or is the lower end, just a faster recovery? Or is it some uncertainty about how much growth you can get initially, just kind of wanted to understand what like we should be watching for across the years to understand the number around that?
Scott Christopher: I'm sorry, I wasn't sure - what's the 50 to 80?
Unidentified Analyst: I believe in your walk you had at the bottom there was essentially - the last item was essentially a range in the EBITDA walk, if I'm not mistaken. I think just  that might not have been the case, but just wanted to know what will be putting you at the low end versus the high end of it?
Scott Christopher: Yeah, so it wasn't actually a range, there was - it was a build up and starting with the existing portfolio, producing $320 million this year. And then adding 80 to that from new investments of approximately $300 million of new investments, generating $80 million this year. And that, obviously - that's only three quarters of the year, because most of those are closed or we should be closing soon. And then on top of that $50 million from the joint ventures and partnerships that we've had. So that's the 320 plus 80 plus 50, is a fourth 
Unidentified Analyst: Got it. And then one other question, you've done a great job of sort of like addressing, or making FTAI basically, a better investment over time, moving some of the like  building out a services business. As you like look forward, are there any specific maybe structural issues to FTAI as a unit that you think might make sense to address, that could unlock any value? Or is it like, how are you thinking about sort of the company structure longer term, if at all?
Joseph Adams: Yes, we have talked about it. And we do realize that being a publicly traded partnership, and having Q - K-1is a negative, and some investors just want to look at - well, look at - take you out of the universe. And in particular, some of the index funds do that. So the solution to that is for us to separate, you have to create two companies potentially spin-off infrastructure. And in addition to getting rid of K-1s, you’d create more of a pure-play for two stocks, as opposed to, you know, combining them. So we think that, that's an objective that we have that and sort of moving up the priority list we don't have a specific timeline on that. But it's something we believe will add value, create value and make the story simpler.
Chris Wetherbee: Yeah, Joe. Its Chris Wetherbee. I just jumped on. I apologize for hopping on here. But I was able to join that here. As a follow up to that, do you think that the businesses are at size or is there a size, fees, or scale on the infrastructure that you would need to get you to be able to do that?
Joseph Adams: We think it's very close. We'd always sort of said arbitrarily, we'd like each company to have at least a $1 billion market cap, we don't want to be too small. And today, we can achieve that. And we think that there's some interesting things on the horizon that we'll add on the infrastructure side, that will add to that. So yeah, I think we're very close, if not there.
Chris Wetherbee: Okay. That's super helpful. I appreciate it. Thank you.
Operator: Your next question comes from Justin Long with Stephens.
Justin Long: Thanks. And good morning. I wanted to start with a question on the power plant at Long Ridge, just wanted to clarify in August, when it's up and running, will it be generating $120 million of EBITDA kind of day one when we start? And then secondly, I know you've talked about potentially divesting your 50% ownership in that - in the power plant. Where are you in terms of that thought process? And what are the big swing factors that you have in mind, as you contemplate what to do?
Scott Christopher: Yes. So part of the income from the power plan is a payment for capacity, which PJM has a capacity payment, and I believe it's about $20 to $25 million a year. And I don't think that we would be booking that right away. Very likely that comes in the auction, first auction, which I think will be in this 2022 period. So there will be a little bit of a lag on the - getting to a $120 million right away. In terms of selling it. You know, I would say not much has transpired since the last time we spoke. I think we're still thinking about it. We do - it does feel like we have more upside with that that, and then we would have said previously, this hydrogen initiative, and, you know, the data center opportunities are both very real and would provide, I think, substantial upside. And so we wouldn't do anything until we felt like we've, you know, at least, you know, gotten those to a point where we can, you know, we can - the value is obvious.
Justin Long: Okay, that's helpful. And secondly, the breakdown on your expectations for aviation EBITDA was helpful. Going back to one of your answers to the 2022 question a moment ago, I think you said, you expect around $100 million from the parts and service and partnership pieces. Anyway, you could kind of break that down a little bit more for us and provide some more color around the components of that $100 million as we get into 2022?
Scott Christopher: Yes, I would say it's probably equally divided between the part of business with AAR, the Chromalloy joint venture and Lockheed Martin, if you took a third, a third, a third of that you would be pretty close.
Justin Long: Okay, perfect. That's helpful. I appreciate the time.
Scott Christopher: Yes. Thanks.
Operator: Your next question comes from Devin Ryan with JMP Securities.
Devin Ryan: Hey, great. Good morning, Joe. Most questions have been asked. I want to follow up just on kind of the last conversation on aviation and the outlook and love to maybe just dig in a little bit around kind of expectations for maybe some additional large scale asset purchases, and then kind of what the market conditions are right now, obviously, you had a big benefit in 2020, given the backdrop. To the extent, you know, the backdrop is improving in the coming quarters, how is that shaping kind of the airline level kind of appetite to do deals? And what are you guys seeing in the market are expecting over the next few quarters in terms of just larger kind of maybe idiosyncratic opportunities?
Joseph Adams: Yeah, so great question. And you know, I think the deals are there, I think there are some larger transactions that we've been working on and that we see coming that I think are, you know, write down the sweet spot for us. And we’re really focused, laser-focused on buying CFM56 engines, and doing that by buying either A320s or 727s and then having the ability to either keep the airframe or scrap the airframe. And so I think that's our - that's our sweet spot. And I think the difficulty, you know, we've talked about this before, and the deals are taking longer, for two reasons. One is, a lot of airlines have been getting money from governments. And so you get financial assistance from the government, but that comes with a cost, which is now you have a government partner. So the velocity of transacting, you know, slows down dramatically when you get a government in the mix. So that's been a bit of a delay. And then the second thing we've heard from people is, no one really wants to sell, right now, if you can avoid it, it's - everyone knows, this is probably the worst market timing. So people are kind of a little bit dragging their feet saying, well, it's going to get better. So I should slow down a little bit. And I won't look like, you know, the biggest fool. So I think that there's some of - there's some of both of those things there. But I do think the macro is the airlines need money, and they're going to need money, it be negative cash flow this year in 2021. And they're tapping every source of capital. And so one of the sources of capital is selling some of your fleet. So I do think the deals are there. But the reason I mentioned that just - it's a little frustrating and slow, but I think we're getting there.
Devin Ryan: Appreciate that, Joe. And I guess, just follow up within that. I mean, as the event enter repair ramps, you know, can you kind of change your bid in the market, if you will, I mean, obviously, your return profile goes up quite a bit with kind of the new capabilities in the vertical integration. So is that something that you're looking to do or is it more that you just will now be assuming  prior returns with, you know, the additional capabilities?
Joseph Adams: Well, we’ll be competitive for deals that we want to win, so we're not fixed on a specific price because of the market moves, as you said, the market moves and market moves, and we have a lot of savings and other people can't generate. So we'll be competitive. And I haven't - we haven't felt like we've lost anything because we were rigid on our price. So I think it's really just more of the other factors that have caused deals to just, you know, languish a little.
Devin Ryan: Yeah. Okay, terrific. If I can, just a quick follow up  up here. First off, congratulations on the completion of the cross channel pipeline, with Exxon, you know, just a lot of activity right now, at Jefferson. And so great to get the outlook there and hear about some of the additional developments. How are you guys thinking about financing at the asset level, I guess, there's a lot of additional projects coming on. And so just love to think about the capacity for those? And also just how you're structuring those with partners in terms I guess, just we’re thinking about modeling and cost outlay, et cetera?
Joseph Adams: Yeah, so it's a great question. And, I mean, we did a tax exempt financing at Jefferson, I guess it was two years ago. Now, time flies, but those bonds are trading in the mid twos in terms of interest rate, yield. So we're looking at doing another tax exempt bond offering at Jefferson. For two things, one would be to expand the storage capacity for about - if we do a $250 million deal, roughly half would be for expansion. And then the other half would be - come back up to FTAI. So we take some investment out of Jefferson, and have it as liquidity for FTAI. So very low cost financing availability, and two good uses of proceeds in my mind.
Devin Ryan: Got it. Very interesting. Okay. Well, thank you. Appreciate it.
Joseph Adams: Yes.
Operator: Your next question comes from Ari Rosa with Bank of America.
Ari Rosa: Great. Hey, good morning, Joe. And good morning, Alan. So, you know, I wanted to ask, just stepping back and looking at the aviation market, maybe you could talk about kind of where the supply demand picture looks like in terms of the amount of idle equipment that still sitting on the sidelines, you know, for the market as a whole. And thinking about, and I know, you kind of touched on this in one of the earlier questions, but just thinking about how the aviation leads to business, maybe changes, kind of a post-COVID world, obviously, a lot of people have been scarred. You know, do you think there are structural changes that have come down the pipeline, in terms of how airlines think about leasing assets? And maybe how FTAI is positioned to capitalize on that?
Joseph Adams: Yes. Great question. I think two interesting statistics I heard, one is that there's now more airlines that are startups, more new airlines in the last 12 months than airlines that have gone out of business. So it's kind of interesting to think about that. Even in this market there's no shortage of people that are willing to invest in airlines, which is somewhat amazing, given the you know, what's happened. And you could argue that that's, you know, that's been horrible use of money. But I've never seen a period in my career when there weren't people that wanted to invest in airlines. So it's incredible. And maybe this is a great time to start an airline because you can get everything cheaper. So I think there's that and then quite a few airlines again recently, I've been hearing in saying that they expect third quarter flying activity to be equal to or higher than 2019. So there's another sort of - as a matter of a rebound that's a pretty stunning fact too. But there is tremendous pent-up demand. I think in Europe, when Boris Johnson announced the reopening plan in UK, the bookings went up, you know, 3% to 500%. And people were, you know, grabbing their flights to Spain and Greece from summer so. So I think there's - I think you'll see the airlines come back pretty quickly and there will be - I don't I don't know how long people have short memories, but this one feels like that could happen again. In terms of structural, you know, the airline business is incredibly risky. So capital is expensive, and I think everybody is expecting leasing to be more of a capital riders. I think some of the big leasing companies have said it's clearly north of 50% now and going up because if you try to, you know, start an airline, why buy equipment, just lease it, so - and you have a lower cost of capital by the leasing company. So I think that benefits. And then our pitch really is, you know, let us manage your engines, we don't need to manage an engine shop visit, when we can do it more efficiently, cheaper, and we could save airline capital. So you don't have to put $5 million into a shop visit or even worse you send your engine in for a shop visit. And you get a shock, though, where you thought it was going to cost $4 million and ends up costing $8 million. So we have a good pitch that I think will resonate as well in terms of capital efficiency and cost savings.
Ari Rosa: That that's a great answer, Joe. And thank you for the color on that. So I wanted to turn to Jefferson, quickly, obviously, there are a lot of balls in the air at Jefferson. And as we think about the different revenue sources, obviously, it looks like the narrative around crude by rail is maybe picking up some steam. Obviously, now pipeline connectivity is, you know, has a lot of potential. Obviously, storage has been always an interesting piece of the story. Maybe you can think about, the total revenue of Jefferson as a percent of revenue, how you think about each of those buckets end up materializing. And then additionally, if you could give maybe a little bit of color, to the extent possible, around what the economics look like, for that pipeline arrangement with Exxon, you know, how exactly is it that FTAI is getting paid and what are the economics around that look like in terms of EBITDA margins or something of that sort?
Joseph Adams: So, on the first question, I wouldn't - I mean, I would envision that we would have probably about two thirds of our revenue at Jefferson from crude and about one third from refined products. And then another goal we have is to also add sustainable fuel to the mix at some point. So we had a number of projects looking at that. But figure that, you know, two thirds crude and one third refine products. In terms of the pipeline economics, it's good, because short pipelines don't cost a lot of money, and if you lose a lot of volume through it, its an incredibly high return. So that's why we put, you know, when we were deciding how many pipes to build, and the cost of building six is not much more than the cost of building one. I mean, realistically, it's like, if you built a house, you would definitely want to put more conduit in the wall because you don't want to reopen it. So we built six, and we're only using one right now. And it's enough, we're getting a good return off one. So you can imagine what the return would be if we had product flowing on all of them.
Ari Rosa: Got it. Okay, that's terrific color. And thanks for the time.
Joseph Adams: There's just a tariff, you get paid, you know, a cents per barrel tariff for the move. That's all, it's very simple.
Ari Rosa: Got it. And can you give any color around what the EBITDA margin looks like for that move to FTAI?
Joseph Adams: Well, you've got - I mean, on a pipe, you have almost no costs? I mean, it's once you've built it, the operating costs are de minimis.
Ari Rosa: Yeah. Okay. Make sense.
Operator: Your next question comes from Brandon Oglenski with Barclays.
Brandon Oglenski': Good morning, and thanks for taking my question. So Joe, just want to clarify the $450 million of EBITDA explication in aviation and 50 to 60 for infrastructure that's full year 2021? Or is that like, exit run rate expectation?
Joseph Adams: No, that's 2021, full year.
Brandon Oglenski': Okay, I appreciate that. And, you know, at the beginning of call, you did talk about utilization assumptions. Could we come back to that, the engine and the fleet portfolio?
Joseph Adams: Yes, for the first half of this 2021 for engine utilization, I said 60% to 70%. We're probably beginning the year around 60%. And I expect that to trend up in the second quarter. And then for the second half of the year, we believe it will be 70% to 80% utilization. We sort of - I think the highest utilization we ever had was about 85%. And it's usually in the third quarter, that's when you know everyone's flat out. So that's what's underpinning that as the return assumption. And for the aircraft fleet, it should be in the low 90s utilization or even maybe higher market if that market picks up. But it's easier to lease an engine than an airframe today.
Brandon Oglenski': Okay. I appreciate that. And then when you provided the $50 million, you know from the PMA and the Lockheed Martin and AAR partnerships, does that includes savings that you're expecting on the current lease book? Or is that incremental EBITDA from third-party sales and activities, you know, within these ventures?
Joseph Adams: Incremental EBITDA, that's not - does not include any savings for our own fleet. As I mentioned, we've already started buying PMA this week.
Brandon Oglenski': Okay, appreciate that. And then last one, for me, it does look like based on this potential aircraft deal for $300 million, that you'll need incremental funding this year of about $200 to $300 million. I think you talked a little bit about some potential bond offerings at Jefferson, but is that - what you're looking at this year?
Joseph Adams: Yes. And I think we did. If we get Jefferson as a source of capital of $125 million, we have an undrawn revolver of 250 million. So we have adequate funds today to cover all of that. And we could also access, the preferred markets are open again, preferreds have come back to 25. So that's where they were issued. So that's another possibility. As we look at the balance sheet, so. So lots of - and that's without doing anything else that would be cash generative, or selling anything.
Brandon Oglenski': Okay. Thank you, Joe.
Joseph Adams: Yeah.
Operator: Your next question comes from Rob Salmon with Wolfe Research.
Rob Salmon: Hey, good morning, Joe. And thanks for taking the question. I guess to piggyback on the last line of questions. Clearly that the module factories is going to be very transformative for FTAI. Can you remind us just as I think about your engine portfolio, what percentage of engines are CFM56 represents today?
Joseph Adams: Yes. I think I have that.
Rob Salmon: As you're, as you're digging that number. When we think about kind of the Lockheed Martin module factory, is this something you're just going to use with the CFM56 engine? Or can you use it with the entire FTAI portfolio?
Joseph Adams: Yeah, so it's really, the Lockheed Martin is really focused on the CFM engine, CFM56. There's a number of maintenance shops, they tend to specialize by engine type. And so for the CF680 and the , we probably will use other shops, that's not a strength of Lockheed Martin. So I think it's really going to be focused on the CFM56 market. In terms of narrowbody engines, it's about half the fleet, there's 160 engines right now CFM. And it's roughly half of our, you know, portfolio value. As I mentioned, there’s $300 million of new investments, almost all of that and substantial amount that is going to be CFM engines adding to that. So I expect to be over 200 engines by the end of this year for CFM56. And then 200 engines is 1% of the total world fleet of 22,000. So it's really still quite small. So we could see growth beyond that for many years in terms of adding to that if we decide to.
Rob Salmon: Absolutely. If I'm using the 160 that would imply assuming engines going in for a shop visit every five years, about 32 visits, as you get to 200, that would be 40. It's still well below the facilities throughput potential, which I believe is around 70 aircraft so or engines, can you give us a little more…
Joseph Adams: It's actually a lot bigger than that it's about 300 engines a year. And we're assuming, you know, our needs are going to be probably in the 50 to 60 range in the near term.
Rob Salmon: And how quickly do you think you'll - you can build up to getting to that that 300 engines and as you get to that max throughput, how should we think about the sensitivity for FTAI from an earnings perspective?
Joseph Adams: Well, I think that we could be at 300 engines next year. So that feels doable. And that's 60 shop visits a year. And if we save $2 million per shop visit, that's $120 million in savings for our own fleet, just some shop visits. And that should show up, if you assume if that $120 million is amortized over three or four years, that's $30 million to $40 million a year there.
Rob Salmon: Yeah, and clearly, you wouldn't have to get much of it back to the customer, which just means you're also going to be able to buy additional engine and improve the returns.
Joseph Adams: Right. I mean, that was one of the revelation when we talk about - you know, when we talk about PMA, the manufacturers always say, well, it's not going to be widely used, it's not a big factor, because the residual values, you know, affected. But if you're leasing engines, which is what we do, nobody who leases an engine cares if there's PMA in the engine, they care if it's, you know, reliable, and it's got hours and cycles on it. So there's no discount, given on lease rate. So we have the ability to effectively, you know, keep that savings for ourselves.
Rob Salmon: Got it. I guess, but before I turn it over to someone else, Joe, can you give us you know, clue, there's a lot of opportunities at Jefferson, you've announced six pipelines, one you've already using to move, there's another that's going to be - that you'd kind of put kind of some throughput around on a barrel per day, how should I think about the remaining four? And how quickly are you expecting those to be to be consumed to Exxon, as we're thinking about the Jefferson EBITDA that you had quoted for the year?
Joseph Adams: Well, I think that opportunities are multiple. As I mentioned, we have a discussion ongoing about using a couple of those pipes for crude. So inbound crude into the Exxon refineries is an opportunity that we're talking about, and then refined products as well. So for the balance, I would hope that we would be utilizing probably two or three of those this year.
Rob Salmon: Got it. Appreciate the color.
Joseph Adams: Thanks.
Operator: Your next question comes from Greg Lewis with BTIG.
Greg Lewis: Yes, hi. Thank you, and good morning, everybody. I guess I just had a couple quick ones. One, as we think about the pipeline in aviation, as you talked about, as I think about those LOIs and I guess I can kind of back into it as I think about earnings guide ramp, but – like is there any way to kind of think about, is it kind of like parceling out that maybe in first half versus a second half versus longer, like, how we should think about the, you know, some of that turning into investment?
Joseph Adams: Yeah, I expect very little in Q1. So it's really is going off a bit balance for the year and I would say Q3, and Q4 will be higher than Q2.
Greg Lewis: Perfect. Okay. Thank you. And then just real quick, on the, you know, you touched a lot about potential opportunities on the infrastructure side, it seems like, you know, you're looking a lot at renewable gas and you mentioned bio diesel, as we think about that, are these projects something that are, you know, I'm realizing that they're in development stage, are these more like smaller scale pilot projects, where we're proving our concepts  that was concepts that, you know, hey, there's, you know, once we decide to FID  we can move forward with these things, maybe later this year or even next year?
Joseph Adams: Yes, I would - I mean, there's one that's potentially larger than the rest, but I think most of them are relatively small scale initially, to develop the products and the economics are pretty attractive. So it's not really, you know, doing something that's below market in terms of returns. But I think initially the scale of most of these is pretty small with the goal that if you prove it out, then you can expand it.
Greg Lewis: Okay. And I'm assuming that there's going to be partners in all of these?
Joseph Adams: Yes.
Greg Lewis: Okay. Thanks. Thank you very much for the time guys. Have a great day.
Joseph Adams: Thanks.
Operator: Your next question comes from Frank Galanti with Stifel.
Frank Galanti: Yeah. Thanks for taking my question. So I wanted to ask about the managing other airline engines, first, does that $50 million EBITDA contribution from Chromalloy or Lockheed include managing other people's engines? And then I guess you'd mentioned when somebody leases an engine, right, they don't care if PMA parts are in there, but airlines will have to own those parts. So, I guess the question is around how does a transaction like that actually work? Do they - will they care of that PMA part in it if they own it? And then what are the economics around that from an FTAI perspective?
Joseph Adams: So, no, I mean, airlines will be putting PMA and have been for years PMA into their own engines. It's a sort of a misnomer that you know, there's some residual value factors, the results  But airlines buy PMA directly today. They buy a lot of PMA from HEICO, they buy from Chromalloy, there's PMA, all the major airlines, particularly ones that operate their own shop use PMA. So it is already an airline, that's purchased the first product so. So there's no concern there with most airlines. If you stick with a OEM program, then you won't be using PMA. But that's a sort of a decision that each airline makes. But you don't need a lot of market share and PMA to make the math work. And so it can be peaceful coexistence. And that if your goal is to have 10% market share, the OEM by definition still has 90%. And it's not material. There is some assumption on, in the $50 million that we have an airline that we can manage their fleets and we have several proposals out right now. It's I would say for this year, it should be a small contributor to that number. But the goal is to make that a big contributor. And you know, when we have any particular, you know, win on that we will certainly communicate that, but I think that the - we have a framework and we have initiatives, and we have good dialogue going on that front. So I'm hopeful.
Frank Galanti: Okay, that's super helpful. And then, I guess the second question I have, and this might be a little bit of an inside baseball. But you - around the engine utilization assumptions, you said you’d start the year, hopefully at 60%, and then ramp gradually 60%, 70% in the first half, 70%, 80% in the second half. But I guess you mentioned in the prepared remarks that for maintenance revenue it was going to remain relatively flat, maybe a little up as airlines aren't flying as much as they had been. How does that utilization turn into maintenance revenue? Is that 70%, 80% assuming that people will actually use the engines when they lease?
Joseph Adams: Yes, yes. So it's not an assumption that it's on-lease, but sitting in a warehouse, it's actually flying.
Frank Galanti: Okay. That makes a lot of sense. And then I guess, a smaller question, on the Jefferson pipelines, you have the – can give us the capacity of those pipes, as I think in the press release, it said 168,000 for one for diesel, 150 for another for gasoline, and there should be four additional pipes going to Exxon, one to Motiva, one to Cushing, what are those capacities?
Joseph Adams: Yes, so the one to Motiva is the largest that will be almost 300,000 barrels a day total capacity. So it's a big pipe. The inbound from payne line  initially is 40,000 barrels a day but it can be expanded up to 60. And then the six pipe stacks on varying capacities but if you assumed 150,000 barrels a day for each one of them that was - it's pretty close. So some are a little bit less and some are a little bit more, but 150,000 is a good number for each one of those.
Frank Galanti: Okay, great. Super helpful. Thanks so much.
Joseph Adams: Which is a lot of capacity.
Operator: I'm showing no further questions at this time. I would now like to turn the call back to Mr. Alan Andreini.
Alan Andreini: Thank you, Cindy. And thank you all for participating in today's conference call. We look forward to updating you after Q1.
Operator: Ladies and gentlemen, this does conclude today's conference call. Thank you so much for participating. You may now disconnect.